Operator: Thank you for standing by. My name is Mark and I will be your conference operator today. At this time, I would like to welcome everyone to the Bridge Investments Group 3Q 2024 Earnings Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Bonni Rosen, Head of Shareholder Relations. Bonni?
Bonni Rosen: Thank you. Good morning everyone. Welcome to the Bridge Investment Group conference call to review our third quarter 2024 financial results. Prepared remarks include comments from our Executive Chairman, Robert Morse; Chief Executive Officer, Jonathan Slager; and Chief Financial Officer, Katie Elsnab. We will hold a Q&A session following the prepared remarks. I'd like to remind you that today's call may include forward-looking statements which are uncertain, outside the firm's control, and may differ materially from actual results. We do not undertake any duty to update these statements. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our Form 10-K. During the call, we will also discuss certain non-GAAP financial metrics. The reconciliation of the non-GAAP metrics are provided in the appendix of our supplemental slides. The supplemental materials are accessible on our IR website at ir.bridgeig.com. These slides can be found under the Presentations portion of the site along with the third quarter earnings call event link. They are also available live during the webcast. We reported GAAP net income to the company of approximately $10.6 million for the third quarter of 2024. On a diluted basis, net income attributable to Bridge per share of Class A common stock was $0.04. Distributable earnings of the operating company were $28.2 million or $0.15 per share after tax and our Board of Directors declared a dividend of $0.10 per share which will be paid on December 20th to shareholders of record as of December 6th. It is now my pleasure to turn the call over to Bob.
Robert Morse: Thank you, Bonni and good morning to all. It's a pleasure to speak to you this morning and to share our results and outlook. As we assess our daily activities of interacting with our 13,000-plus investor base to raise capital and buying and selling assets across our specialized verticals, we believe that the long winter of real estate declines has bottomed and the sector has begun to reemerge. Not in full force, but we are seeing more substantive dialogue with investors, more deals to evaluate, and generally, more activities. As we look across the alternative asset investment landscape, there are fundamental reasons why activity has picked up. So, many asset classes are trading at or around all-time highs public equities, gold, even Bitcoin. Real estate broadly defined has reset in value in large part due to the rate environment. Although value declines since the 2021 peak vary across sectors within real estate on average values have decreased by 19%. We see in this environment echoes of the aftermath of the global financial crisis. When values declined and offered an attractive entry point for buyers with assets pricing at a meaningful discount to replacement cost, ultimately, resulting in outsized investment performance over the ensuing 10-plus years. Such investment opportunities have reemerged today. As we outlined in our 2024 outlook entitled Navigating the Curve, we think it is appropriate to lean into these opportunities remaining selective and precise in where we deploy capital, not only taking advantage of a buyer's market in several sectors, but also focusing on segments with secular tailwinds behind them. To that end which Jonathan will further detail, in the third quarter of 2024, we were selectively active in deploying capital. We acquired $349 million of multifamily and workforce assets at attractive cap rates, $40 million of logistics assets, and deployed $966 million of capital in our debt strategies vertical including meaningful recycling of investments. We expect deployment opportunities to increase over the next several quarters. In an improving but still muted environment Bridge's business operations and financial results remain resilient and position us well to capitalize on the opportunities ahead. We have expanded our areas of competence since the last cyclical peak. We have three industrial logistics strategies, one focused on value-add infill logistics equity, one on developed to core logistics, and one on net lease industrial manufacturing and logistics that have been well received in the institutional and retail markets. We have a top performing, albeit small single-family for rent business that performs best-in-class. We now have a PE secondaries business which has developed a prespecified portfolio with attractive marks. And we have a wealth solutions team with distribution in place and a specialized high-performing investment strategy with more to come. All these initiatives have been financed off the Bridge balance sheet either via income statement capital which previously decreased FRE and DE, but are expected to be meaningful contributors over time or via balance sheet capital. The net result is that going into the anticipated upturn, we have a broader offering of high-demand investment capabilities, more distribution and capital raising resources, and more opportunity. I want to further illustrate this point by highlighting our investment in logistics value-add. Since 2021, we have assembled a strong team of professionals, now numbering 33 and opened local offices in major logistics markets of Southern California, Dallas-Fort Worth, South Florida and the Meadowlands area of New York, New Jersey. We have invested $22 million to build these capabilities, which is substantially less than what it would cost to acquire an existing logistics business. We raised $336 million in our first value-add closed-end vehicle, $428 million in developed-to-core SMAs and expect the first close of our next vintage fund in the value-add logistics area to raise more capital in its first closing than the entire fund size of our first vintage. In addition, we are in advanced dialogue with a leading state pension plan regarding a multiyear developed-to-core SMA. We believe that this initiative, although it so-called cost us $22 million of FRE to the operating company to create, will result in one of the best positioned specialized logistics businesses and a major profit contributor in the future. Money well spent, often overlooked as an internal initiative but very characteristic of Bridge's internal capabilities to recognize opportunity create and nurture teams and drive results. An earlier example of the same practice is our development opportunity zone vertical, which has deployed over $4 billion of equity in six vehicles since 2019. In addition to developing the product capabilities mentioned above, we have continued to invest in our distribution capabilities both domestically and abroad. Our institutional coverage efforts are stronger than ever and we've added or are in the process of closing 11 new institutions as meaningful investors this year. For some time, we have also focused on expanding our penetration with major pension funds and consultants. We've increased penetration to this important segment by 20% year-over-year based on expected capital raise for 2024. We have opened an office in Dubai to further augment our already significant Middle Eastern investor base and we continue to add LPs in Europe and Asia as well as domestically. We introduced our retail accredited investor strategy last quarter. We've already made progress in this channel. Our net lease industrial strategy is approved with several major custodians. We have partnered with leading RIAs, independent broker-dealers and are in discussions with several major wealth platforms to expand our distribution of what we believe to be a differentiated offering to this part of the market. We've demonstrated some early success, expecting to break escrow and have our first closing for the strategy in the fourth quarter. While we are still in the early stages, we're encouraged by the progress we've made to-date. As a culmination of capital raising efforts, we raised approximately $607 million in the third quarter, led by $429 million in debt strategies and $115 million in workforce and affordable housing. We also had $48 million of inflows into our solar infrastructure strategy. We continue to have engagement from both repeat and new LPs in our Secondaries business and we expect to see meaningful capital flows in the coming quarters. Third quarter fundraising improved from second quarter and we expect fourth quarter to be even stronger. This we believe will be the manifestation of our determination and focus on high-quality investment teams in the right sectors and explains why we have such confidence in the increasing LP demand in our sectors. With that, I will turn the call over to Jonathan.
Jonathan Slager: Thank you, Bob,, and good morning. There's much to be optimistic about in the outlook for commercial real estate over the next year. Real estate prices continue to show signs of stabilization with major indices turning positive in 2024. Green Street's commercial property price index bottomed in late 2023 and is up 3% in 2024. Our portfolios were also positive for the quarter. yet the impact of an improving debt market and increased transaction volumes has just begun to be reflected in the market. We anticipate more meaningful improvements in valuation and volumes in the coming quarters. The improvement in the debt capital markets is illustrated by a rise in CMBS issuance and a significant narrowing of credit spreads. As noted last quarter, we've capitalized on this in our SFR business by completing a securitized debt financing for Bridge SFR Fund IV, 200 basis points lower than our prior to securitization in November 2022. Another transactional green shoot this quarter was our debt strategies vertical had its biggest lending quarter in over two years with 15 loans, totaling over $720 million being originated, much of which was recycled capital, so not fully captured in our deployment numbers for this quarter. Additionally, Freddie Mac choose Bridge to anchor its first-ever multi-contributor Q-Deal, which we issued with Harbor Group in September. Furthermore, Bridge debt strategies issued the 13th CRE CLO deal totaling over $638 million. It was our first CLO in two years and the deal was overwhelmingly well received with oversubscriptions on every offered tranche, allowing the deal to price well inside of other issuers preceding deals. This improving liquidity in the market provides the foundation for greater transaction activity on the real estate equity side of our business. Although overall real estate transaction volumes are still far below normal levels, momentum is building, and our investment teams remain nimble to transact at attractive pricing. Deployment for the quarter totaled $617 million, led by debt strategies. We also had a pickup in activity within multifamily as we continue to lean into select investments. Notably, on a year-to-date basis, within our largest segment, multifamily, our $784 million of investments were underwritten to unlevered IRRs that are 23% better than pre-pandemic levels. On the credit side, in the first three quarters, we were able to deploy $1.9 billion in debt strategies, inclusive of recycled capital. In our multifamily pipeline, we are beginning to see medium to large-sized portfolios sourced through off-market relationships as well as lender-driven transactions. There is a widespread expectation that a significant amount of product will come to market in Q1 and a view that if the debt markets remain active and the short end of the yield curve continues to improve, we will see significant volumes in 2025. While dispositions have been more limited, the results have demonstrated continued demand for our product with a weighted average IRR of 23.6% and a 2.39 gross multiple on year-to-date multifamily dispositions. In our logistics vertical, with the quick interest rate reversion, we have seen more and once untouchable properties come available in the super prime markets as users and private owners have limited liquidity alternatives. Our entry price point is approximately half of peak pricing and we are finding opportunities where we can stabilize assets to an approximately 7% yield. This stabilization point translates to some of the widest spreads we have seen since the early 2000s, making this an exciting time for our next fund series in this strategy. Despite laboring under near peak delivery levels in multifamily with 163,000 units coming in Q3, absorption exceeded this at 193,000 units, bringing our four quarter total to 490,000 units, which is 50% above pre-pandemic average absorption levels of 330,000 units. We expect similar deliveries and absorption in Q4, but the picture gets much more compelling as multifamily starts are down 42% off peak, juxtaposed against a continuing strong demand picture. On the industrial side, we have a similar story, only slightly behind multifamily, but starts are 76% off peak levels at just 43 million square feet. The impact of high deliveries and supply has impacted rent growth at just 0.3% nationally on the multifamily side. However, our operational skills allow Bridge to mitigate some of this. In our most recent multifamily and workforce vintages, we have exceeded our NOI projections by 6.8% life to-date. In our first logistics value vintage, we have exceeded underwritten net effective rents by 19.6% on average since inception. And in our single-family rental portfolio, Bridge maintains a 94% occupancy and year-to-date performance of just over 5.9% blended rent growth and 11% NOI growth, which is solidly ahead of our public peers who have reported NOI growth in the 5% range. Now turning to performance. As mentioned earlier, we had a positive performance for Q3 in our real estate valuations, up 0.2%. While the downward movement in the interest rates is positive for commercial real estate, historically, there is a lag before this is reflected in fund valuations, especially as transaction volumes have yet to fully rebound. We are encouraged by many leading indicators such as public REITs increasing 41% since they troughed in October of 2023. From a commercial real estate perspective, all signs are pointing up following declines in both volumes and values reminiscent of the GFC, resulting from the rate hiking cycle. Surveys of CRE participants by CBRE indicate that over 90% of them see significant improvement in volumes in 2025. According to PERE, nearly half of all institutional investors are underallocated to private real estate, and our own interactions indicate that they are recognizing that the reset in values makes this an attractive entry point. Bridge has invested significantly in building out best-in-class investment teams in the most attractive sectors of commercial real estate and PE secondaries, and we are well positioned to emerge from this downturn to an even more compelling and scaled platform. I'll now turn the call over to Katie.
Katie Elsnab: Thank you, Jonathan. Bridge's business continued to exhibit stability in the quarter with fee-earning AUM increasing 1.3% from last quarter, driven by increased inflows into workforce and affordable housing and debt strategies. Fee-related revenue was $82.5 million, increasing 3% from last quarter, mostly due to the inclusion of fee-related performance revenues related to the crystallization of carried interest for our open-end net lease strategy we discussed on our last earnings call. This was partially offset by lower other asset management and property income and net earnings from Bridge property operators. The lower other income line item was impacted by a one-time benefit of $1.9 million included in Q2, which we noted last quarter. The decrease in net earnings from Bridge property operators was mostly driven by lower revenue from the office vertical, as that strategy becomes a smaller part of our overall business. We anticipate that this trend will carry on in the future. Transaction fees were roughly flat versus Q2. As Jonathan noted, real estate deal volumes in the market appear to be improving. However, transaction-related revenue will grow more modestly in the future due to the mix of the capital we're raising. I would also note we expect transaction fees to be smaller percentages of revenues, as we continue to grow and scale our strategies. Historically, we have always focused on recurring management fees as a better indicator of the underlying performance of our business. This metric has grown at a 26% CAGR since IPO, and has exhibited stability during the past two years of real estate volatility, highlighting the attractiveness of our long-tenured AUM profile. 97% of our capital remains invested in closed-end funds with a weighted average duration of 6.4 years. Fee-related earnings for the operating company were $32.4 million decreasing from last quarter mostly attributable to higher compensation-related expenses which increased by approximately $3.1 million excluding approximately $3 million in compensation associated with the fee-related performance revenue. We have weathered the downturn by growing fee-earning AUM during the last 2.5 years with a careful eye towards cost management. As the cyclical recovery has started materializing we have begun reinvesting in the growth of our platform including on the investment and fundraising sides of the business positioning the company for this up cycle as outlined by Bob earlier. The long-term earnings power of the platform is substantial, driven by our brand our track record and our people. On the people side, we expect compensation expense to grow off of the adjusted $42 million in Q3. Distributable earnings to the operating company for the quarter were $28 million with after-tax fee per share of $0.15 a decrease of $0.04 from last quarter. The decrease was mostly due to the items discussed within fee-related earnings along with a net insurance loss of $1.6 million versus a gain of $2 million last quarter representing approximately $0.02. The net insurance loss included a one-time loss of approximately $2 million associated with a large claim in our captive. Additionally, the large claim impacted our claims history which also resulted in higher IBNR reserves for the quarter of $1.5 million. Our general expectation is that our insurance income will stabilize to more normalized, positive levels next quarter. Similar to the last few quarters, performance fee realizations primarily consisted of tax distributions within debt strategies. As a reminder, the non-controlling interest for this vertical is 60%, leading to a ratio of 24% of the gross realized performance fees that will flow through to the operating company. Net accrued performance revenue on the balance sheet stands at $339.5 million which slightly increased compared to last quarter and is recorded one quarter in arrears. It's important to note that 81% of the carry is related to Multifamily Fund IV and Workforce 1, where we are currently monetizing assets. With European waterfalls, these funds are expected to drive substantial distributable earnings in the latter part of 2025 through 2026. With that, I would now like to hand the call back to Bob, for some closing remarks.
Robert Morse: Thank you, Katie. Bridge has managed expenses carefully through the last two years of the real estate winter. Now we are seeing a substantial up-tick in investor interest early signs of rising values and indications that transaction volumes are beginning to recover. For Bridge, this is the time to lean into our future growth, by investing heavily in our manufacturing and distribution teams to take advantage of these opportunities. You will see our trajectory and planner proving out as we raise and deploy more capital, although the financial performance in our FRE and distributable earnings may lag several quarters after which you will see a much more scaled business emerge. We believe the many investments we have made in distribution, logistics, PE secondaries and renewable energy will become meaningful contributors going forward to supplement our historic presence in residential rental and commercial real estate-backed fixed income. With that, I would now like to open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Mike Brown with Wells Fargo Securities. Mike, please go ahead.
Mike Brown: Good morning. Thanks for taking my questions. I guess, I just wanted to maybe start off by maybe trying to put a little bit of a finer point on the real estate market recovery here and outlook. Can you just maybe add a little bit more thought or color around when we could start to see a pickup in kind of three main places. I guess one, fundraising particularly from like the retail side; two transaction fees. It sounds like the outlook there is that that will start to pick up but just how do we think that could play out over the next 12 to 18 months and then realizations. And then, I guess, lot happening in real time here. And we're seeing kind of a backup in the yield. So just curious, if that gives you a little bit of pause? Do you think that that could moderate the pace of the recovery? Thank you.
Jonathan Slager: Yeah. So a lot -- that was a very multipart question and I'm not sure I did a great job. This is Jonathan Slager. Great job of getting all of the notes. But if I miss something, please feel free to interject and make sure that I cover it. I do want before I respond to your question to mention that unfortunately Bob has had to leave for an important client meeting they couldn't move. But we do have Dean Allara, our Vice Chairman who's going to be on the line to be able to support with questions related to client solutions and capital raising and provide additional support for the team in addition to myself and Katie. With respect to the overall commercial real estate market, I think taking your last question first about the impact of rates and the outcome of the election and what we've seen so far, I think our perspective is that overall it's early days to be able to start assessing whether we have a change. Obviously the Fed has a meeting later today. And I expect and all of us expect that they'll continue the trajectory down on the short end of the curve in terms of bringing their rates closer to the neutral rate overall. And so despite the fact that there's some optimism and a buoyance and there's been whatever the so-called Trump trade that has impacted yields, we expect that to come back in and we expect that the impact of that in the short run will be to slow down the pace of transaction flow and the pace of recovery in values, but we still expect that to take place meaning there is a significant pent-up demand for transaction volumes among the participants. There's also as we talk about and we've talked about many, many times a significant loan maturity wall that's coming into commercial real estate that's going to force transactions to take place into the market as borrowers can't bring capital to refinance the loans at the new lower loan amounts. So we see that contributing. And again the overall sentiment is there's a tremendous amount of dry powder and demand. And we're really optimistic. I think we mentioned the absorption in my opening remarks, in my script. We talked about the 193,000 units that were absorbed versus the deliveries of 163,000. So we're getting towards the back end of the deliveries on the multifamily side. But the demand at 590,000 units in the last four quarters continues really strong and we expect that to continue strong. And, obviously, one of the positive parts of the expectations under a Trump administration is going to be continued growth. And all of that is good for commercial real estate. So we're expecting values to recover. And again what's challenging and has been challenging for a long time is the pace at which values recover, the pace at which rates ultimately do come down especially on that shorter end of the yield curve and the curve hopefully will start to show a more normal shape with lower front-end debt. So I think broadly speaking that's my response to the overall market is that we see a lot of enthusiasm. Dean is on the phone, but he's out there every day talking to our LP base. And I think that there's a huge amount of them that have been paused in terms of allocation into commercial real estate. And now they're meaningfully and actively looking to allocate and the place they want to allocate is in industrial and multifamily, which are two really strong suits for Bridge.
Dean Allara: Hey, Jon, I'd just add -- good morning, Mike. Your question about retail fundraising, so we have a vehicle that we expect that we will break Escrow on this quarter, we are pretty excited about that. Currently it's on -- we're breaking escrow likely because we're on a number of custodian platforms. We're on a couple of larger RIAs to put it that way. We're in dialogue as we look to the future with multiple wirehouse type folks as well. So that all feels pretty good as the momentum swings here, I think is what's happening and we expect over the coming quarters to be pretty positive as Jonathan mentioned. Also worth mentioning that we expect in time that we'll have multiple products as we continue to build out, not only the distribution is being built out right now but obviously the marketing as well the product set as well. So further questions on that but just…
Jonathan Slager: Thanks, Dean. Did we miss anything there, because that was a lot of multipart questions. So I feel like, I want to make sure that you got covered there Mike.
Mike Brown: Yeah. No, I think you hit all my four, five sub-questions in there. Thank you for all that.
Jonathan Slager: Fantastic. And thanks Dean for helping me out on that retail one.
Dean Allara: No problem. You said retail fundraise, we got it.
Mike Brown: And if I could just ask a follow-up here on -- maybe on kind of like a theme of operating leverage. So as we think about that recovery that's playing out and the investments you've been making in the business, you talked a lot about the investments in the logistics side and also flagged some of the investments you're making on the distribution. Just curious, how you think about that investment spend level in '25 relative to '24 and then balance that against again that recovery that's going to come through and the scale that's building in the platform and how that will kind of come through in terms of operating leverage.
Jonathan Slager: Yes. Well, I want to clarify when you refer to operating leverage, are you referring to the overall balance sheet at Bridge? And are you referring to the investments?
Mike Brown: No, just to clarify I'm just thinking through the kind of revenue growth potential relative to expected kind of expense growth...
Jonathan Slager: Right. Okay. Well, I think on what I think is very, very positive note we have -- for the last few years we keep talking about investing, but we've built out a pretty scaled national team and Bob referred to that in his opening remarks on the logistics side. So we don't need to do a huge amount of team growth. Obviously the team is there and in place. The other thing is a lot of what we've been doing on the logistics side is development. And that development we now have like seven -- maybe it's eight -- seven to eight greenlit construction projects -- development construction projects. And those will start generating significant development fees which are -- which again don't require us to hire incremental folks. Those folks are already in place and they've done all the work of getting everything entitled and ready to go. So we're going to start to see that coming through on the revenue side and that will drop through towards the bottom line. So you start looking at a very significant investment we've made in the logistics team in particular over the last few years and you look into 2025 and you say that's going to start turning positive in the back half of 2025. So we're really excited about that. With respect to retail distribution and Dean might have something to add here, it's going to continue to be a significant investment, not just in retail but also we've been expanding our institutional coverage and really made some amazing inroads when you maybe Dean you want to cover some of the statistics about how the progress we've made there. But we need to continue to invest in our distribution. Raising capital through institutions is different than the wirehouses and our business is transitioning toward that and regular way retail. So maybe you can jump in Dean.
Dean Allara: Yes absolutely. So a couple of comments here I'd make as it regards to investing in distribution. To give you a sense Mike, over the past two years, our distribution team is up by headcount by 50%. So that -- and that -- I don't know if we'll grow to that extent. But as we -- and we've made some pretty notable significant executive hires at the retail level over -- in this year that we expect will start filling in below that as well to execute there. So that -- and that's always been an ongoing part. I think we've always believed and invested in distribution as we look to grow overall. So I don't see that -- I see that continuing to a degree. I can't give you exact numbers but we're not stopping that investment I'd put it that way. The success I think we have retail sort of at our doorstep to some degree. There's still -- this takes quarters. I don't want to set expectations higher. And then we're just starting to sort of launch through that. So that feels right. Institutionally, we've just we've had -- we have 11 new accounts we're going to bring in this year institutional accounts that are new which is breaking new ground there. We think there's a lot of white space. We're seeing the white space I'd say the execution of those new institutions is global. It's between -- and I know Bob mentioned that we just opened the office in Dubai. So we're seeing some Middle Eastern capital. We're seeing some additional European capital. We're seeing most of the new capital to be honest here in the US and Canadian, but more US pension institutional world. I think there was a comment about the 20% increase in consultant coverage we've got year-over-year as we penetrate the -- much of that capital is harnessed with the consultant and the institutional side here in the US. And then we're seeing new institutional traction in Asia, mainly Korea, but we are seeing growth in other parts of Asia as well. So, I don't know if that answers that second part of your question Mike, but additional color there.
Mike Brown: Yes, great. Thank you for all that color.
Operator: Your next question comes from the line of Ken Worthington with JPMorgan. Ken, please go ahead.
Ken Worthington: Hi, great. Maybe first to follow up on that question. You mentioned that the outlook for fundraising is better in 4Q. What magnitude of improvement are you expecting relative to 3Q? And is it more funds in market? Should we end up seeing a close in Newbury? Or is it just bigger contributions into the existing funds that we saw in 3Q?
Jonathan Slager: Yes. Obviously we can't be as specific as I know you want us to be. And -- but Dean, maybe you can give them a flavor for what -- where we think the energy is. I think we did say in the remarks that we thought logistics is going to be a winner.
Dean Allara: Let me give you some directional comments here. I'll hit this as well. I think, we're going to see in logistics we're going to see some notable increase that will -- we can make those Q4 numbers be Q3 plus maybe plus, plus. I can't say more than that I don't think. But that feels very good. We also have we call them the four horsemen in our world. We have debt -- right now we have debt we have workforce. We have logistics in the market and we have Newbury. And so I think all those will contribute. Newbury to just comment further on that the re-ups -- I'd say it this way. The re-ups feel good. The team has executed on the initial investments in this current vehicle and have executed as you might expect the mark has been pretty good there. So they've done what they've done over their history back to the pre-GFC days. And so I think it's really a matter of the coming quarters liquidity to their current LPs is sort of the gating thing right now, but that feels like it's going to be cutting loose over the coming quarters. I'm clear about that. And we're also seeing traction across traditional bridge clients as well as the cross-sell there. So I don't know, if that I get it all?
Ken Worthington: Yeah. Okay. That helps. And then you mentioned compensation. I think you said that $42 million was the right jumping off point. This is sort of a higher comp accrual than we've seen either earlier this year or last year. So we've seen Bridge as a pay-for-performance company. Are you now sort of having to pay in advance of performance? You mentioned all the green shoots. Is that -- what's driving the step-up in compensation and sort of what we think of as a payout ratio?
Jonathan Slager: Yes. I'll start with that and maybe Katie and/or Dean might want to chime in. But I think to be fair Ken, we've been very -- I think the remarks in the script say it all we've been very careful about really tightly managing expenses. But we also have an important mandate to obviously maintain morale maintain our teams make sure that everybody is excited, because we are coming into this phase where everyone has high expectations for significant increase in volumes improvement in values and we're incredibly well positioned. So what we think is -- you're going to start seeing that flywheel of capital raised and capital deployed but we need the team both on the capital raising side. We need the team on the investment side to be motivated and excited. And I think our overall perspective is it's time to get everybody excited. And so we need to make sure that we're not being super stingy about bonuses and comp. And so a lot of it is just making sure that kind of we're sending the right message to the team about our confidence there and then making sure that going forward everything is appropriately staffed to be able to accomplish what we think is going to be a much higher volume of total work. Business is growing. I think that's the encouraging news is the business is growing. We love our teams. We have great teams and we want to keep morale solid.
Ken Worthington: Okay. Great. Go ahead sorry.
Katie Elsnab: I would just add that our employees are our greatest asset and now is the time to invest in them.
Dean Allara: Yes.
Ken Worthington: Thank you.
Jonathan Slager: Did you have a follow-on Ken? Ken?
Operator: I think Ken is already on the queue. So we go to the next question. Michael Cyprys, Morgan Stanley. Michael, please go ahead.
Michael Cyprys: Great. Thanks so much. Good morning. Just a question on the deployment backdrop in multifamily. I was hoping maybe you could unpack that a bit more in terms of what you're seeing there what you expect to see. You mentioned short end of the curve moving lower the improvement there as a catalyst for volumes as you look ahead but maybe you can unpack some of the moving pieces. We're also seeing the back-end yields move a bit higher. Curious how you think about the sort of moving pieces around that the implications there. And if the back-end yields were to continue to go even higher from where they are today how do you see the sort of implications of that? Thank you.
Jonathan Slager: Yeah. Great question. I know, there's a lot of debate around the treasury yields and the shape of the curve and all of that. But I think for commercial real estate -- value-add commercial real estate investing, let's put it that way, because that's primarily what Bridge is involved in. That's the bulk of our current investing activities. The shorter end of the yield curve is a much more impactful thing. So getting those call it, one month to call it three to five year underlying indices tighter is important. It's also important that the debt markets be active and available. And that's part of the messaging that we gave you the securitization markets the CLO markets we're having significant resurgence in those. And you're seeing that in the issuances that we've done and all of that provides real liquidity. We're getting inbounds on a regular basis from banks, who were literally out of the market for the last two years. And now they're calling us up saying, hey, we want to do deals with you guys. So I think that what that means to me between that and all the dry powder that's sitting in the credit funds is that, spreads are going to tighten. So we can expect an available credit market. We can expect tighter spreads, and we do need a little bit of help from the short end of the yield curve to really accelerate the volumes and the values, but volumes and values will increase regardless, in my view. And it's just a question of how much time it takes and how long it takes for that to manifest. And I think, I already mentioned some of the reasons for it. But at the end of the day, we have a really good supply-demand dynamic for residential and industrial. And those are the two sectors where we focus. So that's -- I think that's the response.
Q – Michael Cyprys: Great. And just a follow-up question. I think you mentioned, some rent and NOI growth and occupancy stats for the SFR business. But just curious, if you could elaborate on what that looks like across the multifamily workforce and some of the other sectors? And how has that been trending? And then as you look into 2025, how do you expect NOI growth rent growth occupancy to trend into next year? Thanks.
Jonathan Slager: Yes. Go ahead. Go ahead, Katie.
Katie Elsnab: So in general, we had rent growth in our multifamily, workforce housing about 3.3% quarter-over-quarter. The same-store revenue growth was 2%. So overall, the assets are performing very well. And it's just really a matter of valuations et cetera, a matter of the capital market.
Jonathan Slager: Yes. And I think -- to give you an idea of our forward view on that, we I mentioned it, but to repeat that we are seeing -- already seeing on the multifamily side in particular, absorption exceed deliveries. And deliveries are at the back end of their peak, right? So, it's one of the things that's nice about real estate is that, it takes a long time to build it, right? So it doesn't just magically appear and nobody knew it was coming. So we have a very clear view on deliveries and they're down and they're down hard, coming forward. And we have a pretty good view on absorption and you can see that that's maintaining very solid kind of record levels of absorption. And so those two dynamics, give you a pretty solid picture. I think the other thing is, in order to initiate new supply of real estate, you have to be able to get a decent return on that investment. And today, we don't see a lot of dynamics that are going to create lower cost to construct new real estate, either industrial or multifamily. And we don't see the cap rates either have to massively compress, or the rents have to grow in order to justify new supply. Well, you pick either one of those or both of those, both of them are good for Bridge and good for real estate. And they inevitably have to happen, if the supply-demand story continues as we expect it to.
Q – Michael Cyprys: Great. Thanks so much.
Operator: [Operator Instructions] And your next question comes from the line of Manu Roberts [ph] with TD Securities. Manu, please go ahead.
Q – Unidentified Analyst: I'm on for Bill Katz. Good morning. Thanks for taking my question. I wanted to come back to some of your prior comments. Given that 90% of inflows in the third quarter came from institutional, I wonder if you could give us some color on how that might impact your outlook for transaction revenues and what management fee rates will look like against the 110 basis points we saw in the quarter? Thank you.
Jonathan Slager: Yes. I'm going to give this one to Katie, to give you some more guidance. I think she gave some in her remarks but...
Katie Elsnab: Correct. So if we think about the inflows during the quarter, they are primarily related to our debt strategies, which historically has been primarily institutional investors. So in general, what we are seeing across the board is that, we are seeing a greater shift to institutional investors. Traditionally with institutional investors, we're going to see a slightly lower management fee rate as well as a change in our overall revenue mix, where we'll see transaction fees being a lower percentage of our total revenue over time. And so when you think about our business as we continue to grow and scale and diversify, you're going to see overall revenue growth but transaction fee is going to be a lower percentage of that growth -- of that revenue.
Jonathan Slager: Great. I think, we're viewing transaction fees as being, there's some growth in it off of the place we are today. But again, when you look at the character of what was in our business back in like 2021 where we had really large opportunity zone, funds that were being deployed, that did have transaction fees connected to them, that those become smaller in overall scale and size. And then as you point out, the mix of investors where you have institutional investors where the transaction fees don't flow through, will impact it. But again, we continue to have generation of transaction fees as part of our long-term business.
Q – Unidentified Analyst: Okay. Great. Helpful color, guys. Thank you very much.
Operator: There's no further question at this time. That concludes today's call. Thank you all for joining. You may now.